Operator: Hello, everyone, and thank you for joining us for Marti's First Half 2024 Conference Call. Before we begin, I'd like to mention that today's presentation and earnings release are available on Marti's Investor Relations website at ir.marti.tech. You will also find links to our SEC filings along with other information about Marti. Joining us on the call today are Alper Oktem, Marti's Founder and CEO, and Cankut Durgun, Marti's Co-Founder and president. Before we begin, I'd like to remind everyone that statements made on this call as well as in this presentation and earnings release contain forward-looking statements regarding our financial outlook, business plans and objectives, and other future events and developments, including statements about the market potential of our products and revenues of our products and our goals and strategies. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties include those described in the company's earnings release and speak only as of today's date. In addition, our discussion today will include references to certain supplemental non-GAAP financial measures which should be considered in addition to and not as a substitute for our GAAP results. We use these non-GAAP measures in managing the business and believe they provide useful information for our investors. Reconciliation of the non-GAAP measures to the corresponding GAAP measures, where appropriate can be found in the earnings presentation available on our website as well as our earnings release and our filings with the SEC. With that, I'll now turn it over to Alper.
Oguz Alper Oktem: Thank you all for joining us today for the first half 2024 earnings call of Marti Technologies. For those new to our company, as Marti, we're the mobility super app of Turkey. Marti offers six services over our app, including car hailing, motorcycle hailing, taxi hailing marketplaces, and owned and operated e-bike, e-scooter, e-moped rental services. Our car hailing, motorcycle hailing and taxi hailing marketplace are a part of our ride-hailing operating segment. And our e-bike, e-scooter, and e-moped rental services are a part of our two-wheeled electric vehicle operating segment. We are the number one urban mobility app on both iOS and Android app stores in Turkey. And we are the only car hailing and motorcycle hailing provider in the country. And currently we have 59% market share in our two-wheeled electric vehicle operating segment. We have served over 97 million rides to 5.5 million unique riders since our launch, and we completed the first half of '24 with $8.4 million of revenues generated from our two-wheeled electric vehicle segment. Since we currently do not charge riders or drivers a fee for the use of our ride-hailing services. The 8.4 from micromobility was also our consolidated net revenue. In the first half of 2024, we consistently outperformed our ride-hailing targets, hitting 1.1 million unique riders and 171,000 registered drivers ahead of our initial target date of June 30th, 2024 targeting over 1 million unique riders and over 165,000 registered drivers. In the first half of 2024, we continue to invest in the growth of our ride-hailing service, which connects riders with car, motorcycle and taxi drivers. We currently do not charge riders or drivers a fee to use our service in order to prioritize the services growth. So the business is currently unmonetized. We invested 26.1 million in the service in the 21 months from its launch in October 2022 through to the end of June 2024 or approximately 1.2 million per month. This includes 13.1 million invested in the last six months, a period where we have increased the pace of our investments to 2.2 million per month, as you see increasing promise and higher returns to investment in our ride-hailing segment. In return, our number of riders grew by 121% in the last six months, from 499,000 riders at the end of December 2023 to 1.1 million by the end of June 2024. Our number of registered drivers grew by 60% in the last six months too, from 107,000 to 171,000 registered drivers during the same period. The fast growth and large scale that we have achieved in our base of riders and registered drivers relative to the limited capital outlays that we have made in our ride-hailing business reflect our commitment to capital efficient growth. For comparison, the taxi market in Turkey is estimated to have $9 billion to $12 billion of market size with just 40,000 taxis serving the country. We will continue to invest in the cost-effective growth of our ride-hailing service in the second half of this year and beyond and aim to reach 1.6 million riders and 245,000 registered drivers by the end of this year. In our two-wheeled electric vehicle business, consisting of owned and operated e-bikes, e-scooters and e-mopeds, we continue to focus on operational efficiency throughout the first half of 2024. Our operational efficiency project increased the total cost of revenues by 35% year-over-year, despite managing a similarly sized fleet, I'm sorry, decreased the total cost of our revenues by 35%. As a part of our operational efficiency efforts, we produced a 29% reduction in field staff, a 57% reduction in repair and maintenance personnel and a 35% reduction in our logistics vehicle count that's like operational mini vans. We also implemented an on-field repair project. 80% of our vehicles in need of repair and maintenance are currently repaired on the field, thereby increasing the vehicle availability and avoiding the logistical costs of bringing vehicles from the field for repair to maintenance facilities and then back. We also implemented a refurbished spare parts usage system for both mechanical and electronic parts. Our increasing reliance on refurbished spare parts in place of costly new spare parts produced a 57% year-over-year decrease in spare part cost per vehicle. We achieved each of these improvements while maintaining our historical theft and vandalism rate of less than 0.1% of our fleet on a monthly basis. To further advance our operational and efficiency efforts, in February of this year, we completed the acquisition of all of the intellectual property and software assets of Zoba, a Boston-based leading AI-powered software-as-a-service platform offering dynamic fleet optimization algorithms for two-wheeled electric vehicle operators. Zoba systems dynamically optimize where the vehicles are deployed and when operational tasks such as battery swaps, rebalances and pickups occur to maximize ridership and minimize the vehicle operational inefficiencies. In the first quarter of this year, our vehicles deployed according to Zoba's algorithms achieved 1.7 times higher daily rides per vehicle than vehicles deployed without Zoba systems. This figure increased to 2.4 times in the second quarter of 2024, demonstrating both Zoba's efficiency and room for further improvement. The additional revenue from Zoba's deployment recommendations have generated for Marti in the first six months since the acquisition has already paid back our entire acquisition cost of the company's assets. Our future focus will be to scale vehicles deployed with Zoba from around 50% at present to 100% of the deployment and to apply additional features like logistics vehicles, routing recommendations on the field. Pricing remains an important focus area for us in the first half of 2024 as well. While inflation and the corresponding currency depreciation are on the decline in Turkey, we remain vigilant in our tracking of and pricing responses to these developments. We responded to 37% inflation in Turkey and 20% currency depreciation of the lira relative to the US dollar from the third quarter of 2023 to the second quarter of 2024 by increasing prices by 77% in Turkish lira during this time period. Our revenue per ride in US dollars increased by 38% from $1.23 in the first half of 2023 to $1.69 in the first half of 2024. As a result of price increases in excess of inflation and currency depreciation and our operational efficiency measures, our pre-depreciation contribution profit per ride increased by 458% from $0.10 in the first half of 2023 to $0.54 cents in the first half of 2024. Our pricing actions helped offset the 36% year-over-year decline in average daily rides per vehicle produced by the adverse impact of inflation on purchasing power. As a result, our 2024 first half revenue of $84 million came in only 11% lower than our revenue of $9.5 million in the same period of last year. Throughout the first half of this year, the behavior of our riders continues to support our decision to offer multiple transportation modalities over a single app. We believe and the data continues to show that this multimodal offering is aligned with rider preferences. 71% of our e-bikes, 85% of our e-mopeds, 45% of our car hailing and 81% of our motorcycle hailing riders use these modalities after previously being introduced to the Marti platform by using another Marti modality. Our existing modalities serve as an excellent cost free rider acquisition channel for our new modalities too. Furthermore, 49% of our e-bike, 62% of our e-moped, 16% of our car hailing, and 45% of our motorcycle hailing riders subsequently use other Marti modalities after their first e-bike, e-moped, car hailing and motorcycle hailing rides respectively. These data points show an overwhelming rider preference for multimodal transportation services. Serving multimodal riders also creates economic benefits for Marti. Rides per rider is 4.8 times higher and revenue per rider is 4.4 times higher for our multimodal riders than for our single modality riders. These statistics reinforce our decision to invest in the balanced growth of our multi-modal services. I'd now like to turn it over to my partner, Cankut, to present the financials of Marti. Thank you.
Cankut Durgun: Thank you, Alper. Looking at our income statement for our two-wheeled electric vehicle operating segment, we see $8.4 million of revenue in the first half of 2024, down from $9.5 million in the same period of 2023. It's important to once again note that net revenue for our two-wheeled electric vehicle service is the same as consolidated net revenue given that we have yet to charge our riders or drivers a fee for using our ride-hailing service. My partner Alper reviewed the evolution of the input parameters of net revenue, including average daily vehicles deployed, average daily rides per vehicle, and average revenue per ride earlier in the presentation. Our cost of revenue fell 35% from $8.7 million in the first half of 2023 to $5.7 million in the first half of 2024. As shared earlier, this was driven by our operational efficiency projects, including optimizing our field staff, repair and maintenance staff, and logistics vehicle counts, launching the successful on-field repair program and increasing our usage of refurbished electronic and spare parts. Driven by additional optimizations of our G&A team size and wages and a shift in the focus and time of management as well as central functions away from our two-wheeled electric vehicle operations and towards our ride-hailing segment, our G&A costs decreased by 43% from $6.4 million in the first half of 2023 to $3.6 million in the first half of 2024. As a result, our adjusted EBITDA came in almost breakeven at just negative $0.2 million for the first half of 2024. This is a significant improvement from the negative $4.7 million of EBITDA in this segment in the first half of 2023. In our ride-hailing operating segments, we completed the first half of 2024 with $13.1 million of expenses. We continued our commitment to capital efficient growth in a business segment where global benchmarks have proven both scale and profitability, but often at the expense of capital efficient growth. Our expenses included $0.8 million of variable expenses incurred to service rides. This includes the cost of servers, mapping and navigation services, call center costs for driver onboarding, customer support costs, and other variable costs. In addition, we incurred $5.2 million of general and administrative costs as we further built out our team to support the increasing scale of the segment. Furthermore, we invested $6.2 million in marketing to build awareness for our ride-hailing service and on-targeted driver and rider acquisition and retention campaigns. Our marketing activities include both online and offline campaigns as well as cross promotions offered to our ride-hailing riders for usage of our two-wheeled electric vehicle service. Finally, we incurred $1.7 million of other expenses. These include subsidies we offered for $1.1 million of driver fines, which we view as a marketing activity as a result of its contribution to driver acquisition and retention and $0.6 million of R&D expenses. In aggregate, our consolidated financials finished the first half of 2024 with $8.4 million of net revenue and negative $11.3 million of adjusted EBITDA. Our full year 2024 forecasts, which we shared at the outset of the year, which were for $16.6 million of net revenue and negative $22.5 million of adjusted EBITDA remain intact. In the presence of an EBITDA neutral two-wheeled electric vehicle operation, these forecasts are driven primarily by the investments that we're making in our ride-hailing business in order to grow the surface as fast as possible. Finally, Marti's share repurchase program, which we announced in January 2024 and which enables us to purchase up to $2.5 million of our common shares up to a price per share of $3.3 through October 9, 2024 remains ongoing. We thank you for participating today and listening to our performance and future plans and would like to answer any questions that you might have.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Brett Knoblauch from Cantor Fitzgerald. Your line is now live.
Brett Knoblauch: Hi, guys. Thanks for taking my question and congrats on results for the first half. It's really nice to see the growth on the driver and rider side. Can you take a step back and talk about the timing of the potential monetization of that business and maybe where we are. Is this something that you would expect within 12 months, within a couple of years, or are you still unsure about that? Just help us frame what we should be expecting from that side of the business?
Oguz Alper Oktem: Sure. It is something that's constantly on our mind. We look at our drivers, their behavior, our riders, their behavior try to optimize growth. That is our main focus right now because as an unmonetized service, we're not charging anybody anything and hence growing as much easier. However, we're always experimenting with monetization. We're trying different schemes, doing pilot projects, and looking into the most optimal way of doing it. I do foresee us monetizing in a very efficient manner as a result of these pilot projects. And we will do this exactly at the right time for the business. Thank you.
Cankut Durgun: It's also, let me just add, Brett, I mean, it's also a function of cash requirements of the company, right? So the current cash position of the company, you'll see, as of the end of June 30th was about $9 million. And we've shared sort of the investments that we're making in the ride-hailing business. As long as the funding requirements of the company are such that we are able to prioritize the growth of ride-hailing, that remains our priority. However, together with the funding requirements of the company necessitating monetization of ride-hailing, we will, and we therefore have started looking at these pilot projects that I've had mentioned. I do believe, however, that when these projects come alive, the profitability profile of the company will change significantly. We're just waiting for the right time to bring them live.
Brett Knoblauch: That's helpful. I think during the first half of the year, you guys kind of announced or sort of highlight with your drivers and kind of given them fuel cards as like incentive compensation for kind of like using the platform. Could you maybe try to update us how that's going?
Cankut Durgun: So currently we are not offering any driver subsidies. That is something that we offered in the form of fuel cards in the past specifically in 2023. And what's important to note, this ties into sort of the monetization discussion, right, because what's important to note is that when we removed those fuel card subsidies in the past and therefore effectively applied a certain monetization scheme by reducing the net income of each individual driver, we didn't see any change in driver behavior, right. As a result of the strong position that we have in the markets and being currently the only game in town, what we foresee is that when we do monetize in the future, we don't foresee a loss in the driver base in terms of driver acquisition or driver retention figures and general driver availability because of this real-time experiment that we conducted with the fuel card subsidies in the past.
Brett Knoblauch: Perfect. Very helpful. And maybe just one last question on liquidity. And I know you guys said you have about $9 million of cash. How much runway does that give you guys? And at what point does that start to hinder your ability to go out and market and your ride-hailing business?
Cankut Durgun: So we are actively in the process of raising additional capital in order to extend the runway of the company. And that capital will very likely, there is an existing, for example, a call option out to purchase additional shares, purchase additional convertible notes that were the same convertible notes that were issued at the listing date. And by drawing on those funds that are made possible by that call option, we are going to be extending the runway of the company in an unmonetized scenario for several more months while also, as I had mentioned, looking at the results of these monetization projects, these monetization pilots, and looking at the opportunity to monetize the business as well.
Oguz Alper Oktem: By the way like, I think, it's at this scale very clear that once monetization starts, our needs for external funding decrease very extremely. So we're constantly planning and looking forward to the day when we monetize and our financial outlook completely changes.
Brett Knoblauch: Perfect. Thanks guys. Really appreciate the time.
Operator: Thank you. Next question is coming from Poe Fratt from Alliance Global Partners. Your line is now live.
Poe Fratt: Good afternoon. Can you just highlight whether the August change in the ability to help drivers recognize revenue and collect taxes. Did that accelerate the path to monetization or did it change any of the legal structures in moving towards monetizing the ride-hailing business?
Oguz Alper Oktem: Great question. Thank you, Poe. Sorry. Thank you, Poe. So this is not our first time around regulating new business in mobility. We're a six-year-old company and we built, we helped partnered up with the Turkish government to build a complete legal framework and regulation for two-wheeled electric vehicle sharing. That includes e-scooters, e-bikes, e-mopeds and the sort. So we know how this process works. We are the most experienced team on the ground to be able to do this. Hence, we are very carefully navigating through the same process the second time around. This time the difference is we're not trying to regulate micromobility or scooters or two-wheeled electric vehicles. We're trying to regulate ride-hailing. The Ministry of Finance's decision to start taxing our drivers is one of the greatest steps forward that we could have imagined for. I mean some journalists say or the pundits say or the general public think and so do the politicians that if you tax something, that is an indication of your future plans of regulating it. So we see this as a very positive sign on our way to get full regulation for this business. We worked very hard to get it. And I think we are in a very good spot looking forward to fully regulate this business. And as our struggles or fights to regulate the business progresses, our likelihood of monetizing this business increases as well. But as Cankut has said, the monetization decision changes upon multiple factors. One of them is finding the most optimal way to do so through trying different pilots of monetization. Secondly, our needs of financing, because obviously monetization hinders our growth. And finally the regulation. We will make the correct decision when the time comes. But the thing you've identified, the decision of the Ministry of Finance in August, definitely accelerates that process.
Poe Fratt: Great. Thank you for the color. And did I hear correctly that your stock buyback program will expire on October 9th in the context of raising capital, I would assume it wouldn't be renewed. Can you just give me an idea of what will happen to the stock buyback program?
Cankut Durgun: We will be determining over the next roughly 10 days that we have. We haven't come to a decision so far.
Poe Fratt: Great. Thank you so much. Just, Cankut, just to clarify, you haven't bought any stock back though?
Cankut Durgun: So far to date, we have not.
Poe Fratt: Okay, great. Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Cankut Durgun: Thank you, everybody, for participating.
Oguz Alper Oktem: Thank you.
Operator: Thank you. That does conclude today's teleconference webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.